Operator: Good morning, ladies and gentlemen, and welcome to the Automotive Properties REIT's 2025 Third Quarter Results Conference Call and Webcast. [Operator Instructions] Please be aware that certain information discussed today may be forward-looking in nature. Such forward-looking information reflects the REIT's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking information. For more information on the risks, uncertainties and assumptions relating to forward-looking information, please refer to the REIT's latest MD&A and annual information form, which are available on SEDAR+. Management may also refer to certain non-IFRS financial measures. Although the REIT believes these measures provide useful supplemental information about financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please refer to the REIT's latest MD&A for additional information regarding non-IFRS financial measures. This call is being recorded on November 14, 2025. I would now like to turn the conference over to Milton Lamb. Please go ahead, Mr. Lamb.
Milton Lamb: That's great. Thank you, Krista. And good morning, everyone. Thank you for joining us today. On the call with me is Andrew Kalra, our Chief Financial Officer. We had an active period in advancing our strategic initiatives for unitholders, including a distribution increase and completing approximately $151 million of acquisitions. During the quarter, we deployed approximately $93.6 million for acquisitions of 7 automotive properties, including 5 automotive dealership and collision repair centers in the Greater Montreal area, a Rivian tenanted property in Orlando, Florida and subsequent to quarter end, we completed the acquisition of an additional 4 automotive properties in the Greater Montreal area at a combined purchase price of $57.3 million. We expect these property acquisitions to drive continued growth in our AFFO per unit. In addition, we recently completed a bought deal equity offering and concurrent private placement for a combined gross proceeds of approximately $57.1 million. While our results for the third quarter don't yet reflect a full quarter impact of our recent acquisitions, we still generated solid growth in our key performance metrics. Compared to Q3 a year ago, rental revenue increased by 7.9%. Cash NOI is up 6.5%. Same-property cash NOI increased by 2.3% and AFFO per unit diluted increased to $0.252, up from $0.233. Supported by the strong financial performance, the Board of Trustees approved a 2.2% increase to unitholder distributions in the quarter, increasing our annualized distribution per unit from $0.804 to $0.822. We're pleased with our progress in advancing our strategic initiatives for our unitholders, and we look forward to realizing the full impact of our acquisitions in the quarters ahead. I'd now like to turn it over to Andrew Kalra to review our financial results and position in more detail. Andrew?
Andrew Kalra: Thanks, Milton, and good morning, everyone. Our property rental revenue for the quarter increased to $25.4 million from $23.5 million in Q3 a year ago, reflecting growth from the properties we acquired subsequent to Q3 last year and contractual annual rent increases, partially offset by the reduction of rent from the sale of our Kennedy Lands property in October 2024. Total cash NOI and same-property cash NOI for the quarter totaled $21 million and $19.6 million, respectively, representing increases of 6.5% and 2.3% compared to Q3 a year ago. Interest expense and other financing charges for the quarter were $6.5 million, a slight decrease from Q3 a year ago due to lower floating rates. Our G&A expenses were $1.7 million for the quarter, an increase of $0.3 million from Q3 last year, in line with our expectations. Net income and other comprehensive income was $10.4 million compared to $1.8 million in Q3 last year. The increase was primarily due to changes in noncash fair value adjustments for interest rate swaps and Class B LP units and unit-based compensation and a foreign currency gain. FFO and AFFO increased by 8.3% and 8.8%, respectively, compared to Q3 last year, reflecting higher rental revenue from acquisitions and contractual rent increases, partially offset from the reduction of rent from the sale of the Kennedy Lands. We paid unitholder distribution of $10.1 million or $0.204 per unit in the quarter, representing an AFFO payout ratio of 81%, down from 86.3% in Q3 last year, reflecting the positive impact of the properties acquired subsequent to Q3 last year and contractual rent increases, partially offset by the reduction of rent from the sale of the Kennedy Lands and the increase to REIT's distribution. The cap rate applicable to our portfolio was essentially flat quarter-over-quarter at 6.7%. The $3.6 million fair value adjustment primarily related to the write-off of closing costs associated with the new acquisitions. We continue to be proactive with our debt to limit our exposure to interest rate fluctuations and enhance our financial flexibility. During the quarter, we renewed and extended just over $29 million of floating to fixed interest rate swaps for the term of 5 to 6 years at rates just under 4.6%. We increased the amount of the non-revolving portion of Facility 2 by $40 million, and the maturity date was extended from January 2028 to March 2029 at the same credit spread. This extension of maturity term is consistent with our strategy and that we've executed on a regular basis for all our credit facilities. Subsequent to quarter end, we renewed a floating to fixed interest rate swap within Facility 2 in the amount of $15 million for a term of 6 years and an interest rate of 4.4%. We increased the amount of the non-revolving portion of Facility 3 by $40 million. We have a well-balanced level of annual maturities with only $63 million of swaps maturing over the next 24 months. We have a weighted average interest rate swap term and mortgages remaining at 4 years. As at November 13, 84% of our debt was fixed through interest rate swaps and mortgages. We have a fixed average effective interest rate through swaps and mortgages of 4.4%, which is comparable to recently completed swap rates. We also completed $57.3 million equity offering, including the exercise of the over-allotment by the underwriters. As a result of the successful completion of the offering and the issuance of $10 million of Class B LP units and the completion of our acquisition of 4 properties subsequent to quarter end, as at November 13, our debt-to-GBV ratio was approximately 45%. We had approximately $7.5 million cash on hand, approximately $9 million of undrawn capacity under our credit facilities and 8 unencumbered properties with an aggregate value of approximately $117 million. I'd like to turn the call back to Milton for closing comments. Thank you very much.
Milton Lamb: Thanks, Andrew. This year marks the 10th anniversary since the completion of our initial public offering. And over that period, we've made significant process -- progress in raising our industry profile and diversifying our tenant base, market presence and brand representation while more than tripling the value of our investment properties. We have accelerated this progress over the last 12 months and further strengthened our position for growth through the acquisition of a total of 15 properties for an aggregate purchase price of just over $215 million, including our entry into both the U.S. market and the heavy equipment dealership vertical, both of which broaden our potential acquisition pipeline. Looking ahead, you can expect us to continue to build on these positive factors to drive unitholder value, supported by growing property portfolio featuring essential retail and service properties with 100% retail collection -- sorry, 100% rent collection since our IPO over 10 years ago, prime metropolitan markets anchored by GDP and population growth, high-quality tenants with resilient business models, attractive single-tenant net lease structure and embedded fixed or CPI-adjusted rental growth. That concludes our remarks. I'd now like to open the line for questions. Christy, please go ahead.
Operator: [Operator Instructions] And your first question comes from the line of Jonathan Kelcher with TD Cowen.
Jonathan Kelcher: I guess over the last 12 months has been one of the most active times since you guys went public and you just reloaded the balance sheet. But what are you seeing now? Traditionally, Q4 is kind of the most active time for dealer M&A. Are you seeing any pickup in activity there?
Milton Lamb: When I talked about this about 12 months ago, I was saying I expected the next 18 months to be pretty busy. A lot of the deals that we've completed recently have been previous dealers who have sold their residential -- sorry, sold their real estate after the fact. So it wasn't on the back of M&A. We're still seeing some slight hesitation, a gap on pricing in some of the M&A because of the environment we're in. But the entry into the states, just the activity we've had overall, the fact in an inverse way that interest rates have got to a level where there is a cost of capital for dealers have allowed us a nice place back at the table to be active again. And the pipeline we're seeing the opportunities, especially in the states, it is very positive. I mean in the states, there's more opportunities. There's certainly more competition, we have to pick our spots. But the traditional weighting more towards the back quarter or slightly into the first quarter, I mean, we've got some of that done already. We have always had the mantra mindset. We never wanted to extend the balance sheet where we were not comfortable. So we didn't extend too much before knowing that we're in a place that we are comfortable and able to do the raise that we did. So we're certainly -- I'll reiterate what I said 12 months ago and just extend it a bit further. We're looking forward to the next 18 months.
Operator: Your next question comes from the line of Jimmy Chen with RBC Capital Markets.
J. Chen: I noticed that there's a footnote that Audi is looking to leave the Vaughan site. And I'm just kind of curious as to what you're planning to do there.
Milton Lamb: We just received that notice. It was not a surprise. We have -- and we've talked about it before, looked at this as a high-density residential site. And at the same time, it is a very high-quality either automotive or retail property being right beside Vaughan Mills. So we are now exploring what we're going to do with that, whether it's a short to midterm lease or other. Certainly, the quality of the property, especially compared to the price we bought it at, we feel very good about it. But we're moving on to the next steps as far as what do we do with this as we go forward approximately a year from now.
J. Chen: Okay. Sorry, just a follow-up. So what's looking more likely though?
Milton Lamb: Sorry?
J. Chen: Which one -- which of the 2 options are looking more likely in terms of...
Milton Lamb: It's too early to say.
Operator: Your next question comes from the line of Zemin Liu with Desjardins.
Zemin Liu: Just a quick question on transactions. So after selling the Kennedy Lands in 2024, are there other assets on the list for recycling as we head into next year?
Milton Lamb: Jimmy just kind of touched on it a bit. The one that we would have seen as potential would have been 9088, Jane Street. I don't think we're in a rush for that in the current market. We have said before that we are not going to create a development arm and be a developer. That doesn't mean we won't do entitlement and look at taking nice profits as we've done with Kennedy Road and recycling them. But I think it's doing it at the right time and a place. I've always said in real estate, you do very well unless you have to do something. So we are not in a position where we have to do something, but we certainly want to be able to continue to drive AFFO per unit and capital recycling and/or re-leasing at a good rate can both -- can do both of that.
Operator: [Operator Instructions] And we have no further questions in our queue at this time. I'm sorry. Your next question comes from the line of Giuliano Thornhill with National Bank.
Giuliano Thornhill: I'm just wondering on the distribution policy, if you could kind of outline how you're thinking about that? Was it like AFFO per unit? Was it the transaction? Just to see on that, please?
Milton Lamb: I mean it all comes down to AFFO per unit. And we've said before that we don't believe a onetime distribution increase does a lot for either our investors or for the pricing of our unit. So we -- the trustees and management feel very comfortable as we're looking to move forward. Certainly, the recent acquisitions, the levels being able to do them, the levels we've been able to put debt in place driving AFFO, that allows us to have the continued confidence. So I mean, as a policy, you've got to do one before you can do a regular series, but we certainly like the idea with our lease structures that there's the ability to continue to see same-property NOI and therefore, AFFO growth per unit to leave us in a comfortable position.
Giuliano Thornhill: And so are you comfortable kind of setting like a target like 1 to 2 or so going forward quite yet?
Milton Lamb: You're asking for forward-looking. We certainly can't do that. You've certainly got the ending tones on what we like. We can't project what there will be in a year. But all I can say is that we have consistently said we don't like the idea of doing a one-and-done distribution increase.
Operator: Your next question comes from the line of Sairam Srinivas with Cormark Securities.
Sairam Srinivas: Congratulations on a good quarter. Milton, looking at your comments for the next 18 months, as you look to be active and looking at the asset stack, you have these longer-term leases right there. I mean if you look at the debt side of things, the cost of capital, I guess, on the debt side is still more short term in terms of lines of credit and credit facilities. And that's -- I know that's essentially how you guys have operated. But is there a thought process to essentially change that debt stack a bit and probably look to more permanent stack of capital there?
Milton Lamb: Sorry, to convert it to...
Sairam Srinivas: Probably maybe the other forms of debt essentially and put more secured debt or convert...
Milton Lamb: I mean at a certain size, you would think we have the ability to do unsecured debt, debentures take advantage of the financing market that's out there on the public side. Mortgages are very -- they remove a lot of flexibility. Our tenants are operating businesses. So we do get a knock on a door to help them with expansions, et cetera. I've been in the business since 1991. Those mortgages sometimes really do handcuff you. We have had on a regular cadence, the ability to and continue to enjoy, as you've just seen, the ability to extend those credit facilities, expand them, contract them, bring properties in, bring properties out, do expansions. There is a lot of for our own flexibility and therefore, as a follow-through, our tenants' operating flexibility, a lot of reasons why a certain part of our balance sheet might be mortgages, but it's not going to be a significant part. We need and like -- and I think the unitholders benefit from that flexibility that we're able to achieve by initially starting out with an unsecured portfolio to be able to put this -- the credit facilities in place.
Sairam Srinivas: That makes sense, Milton. And probably my last question is for the Montreal acquisition, which you guys just closed in Dorval. I know you told these assets when you did the property tour, I think, a couple of years back. And at that point in time, we spoke about a lot of the potential in the developments around that area and the broader, I guess, infrastructure development around there. When you've chosen this acquisition, was there a future vision in terms of what you could do here? Or was it just like -- are you currently basically looking at the properties as they are and it makes sense to kind of hold them?
Milton Lamb: Yes. The short-term future vision was that they are opening up that DesRosiers REM station. I think it was supposed to be October, so kind of as we speak. That is going to continue to drive density and traffic in that area, which is good for our tenant and certainly good for the land underneath. If you look at that site, including the Mazda that we already have, that becomes an incredibly attractive site. Now the tenant does have renewal options. We certainly think they're going to stay there for a while. And we're not in a rush. We do love the fact that it has underlying ability to either support very successful dealerships or to do mixed-use higher density. It certainly allows us to sleep well at night. But today's market, it's not the time to kind of reach and kind of push just for density.
Operator: And that concludes our question-and-answer session. I will now turn the conference back over to Mr. Lamb for closing comments.
Milton Lamb: That's great, everyone. After a busy quarter, thank you very much, and we look forward to catching up with you soon.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.